Operator: Good day, and welcome to the Allient Inc. Corporated Fourth Quarter Fiscal Year 2023 Financial Results Conference Call. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Craig Mychajluk of Investor Relations. Please go ahead, sir.
Craig Mychajluk: Good morning, everyone. Here on the call are Dick Warzala, our Chairman, President and CEO; [Audio Gap] Leach, our Chief Financial Officer. [Audio Gap] Mike are going to review our fourth quarter and full year 2023 results and provide an update on the company's strategic progress and outlook, [Audio Gap] we'll open up for Q&A. [Audio Gap] the financial results that were released yesterday after the market closed. If not, you can find it on our website at allient.com, along with the slides that accompany today's discussion. [Audio Gap] slides, please turn to Slide 2 for the Safe Harbor statement. As you are aware, we may make forward-looking statements on this call during the formal discussion as well as during the Q&A. [Audio Gap] apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially than what is stated on today's call. [Audio Gap] uncertainties and other factors are discussed in the earnings release as well as other documents filed by the company [Audio Gap] Securities and Exchange Commission. [Audio Gap] documents on our website [Audio Gap].gov. [Audio Gap] as well that during today's call, we will discuss some non-GAAP measures, which we believe will be useful in evaluating our performance. [Audio Gap] consider the presentation of this additional information in isolation [Audio Gap] a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP to [Audio Gap] GAAP measures [Audio Gap] tables accompanying the earnings release and slides. Please turn to slide three, and I'll turn it over to Dick to begin. Dick?
Richard Warzala: Thank you, Craig, and welcome everyone. With a backdrop of macro uncertainty and other challenges, the Allient team once again delivered on a number of successes during the past year. This included the kick-off of our next stage of growth with a refined strategy that brought on a new corporate name and ticker and included the publishing of our inaugural sustainability report, which highlights our vision for an approach to corporate sustainability. We continue to execute our financial strategy with the support of 13% organic growth for the year, which is more than double the industry and key acquisitions, which I will speak to in a moment. Our top line reached nearly 580 million, reflecting strong demand in industrial markets, largely driven by industrial automation projects and power quality solutions, focused on the HVAC and oil and gas end markets. Also contributing to our overall growth with higher sales within aerospace and defense and the vehicle markets. On the margin front, we delivered on our expectations with a record annual gross margin of 31.7%, an operating margin of 7.3%, which was up 100 basis points for the year. This translated into stronger earnings that also led to a record level of cash generation of $45 million that enabled us to reduce our debt while still investing in organic and inorganic initiatives. Overall, annual net income per diluted share increased 36% to $1.48, and on an adjusted basis, net income per share was $2.30, up 22% for the year. On slide four, we highlighted our recent acquisitions. We reviewed Sierramotion on our last earnings call as we completed the transaction in September. While it is a relatively small acquisition, it was very strategic from an engineering perspective as it enhances both our application design and development efforts in support of our integrated motion solution strategy and advances our customer-facing market strategy as we further expand our reach into our targeted market sectors. In early January, after the year closed, we brought on SNC Manufacturing, which was our first tuck-in acquisition in support of our power technology pillar. They are a well-established company with locations in the U.S., Mexico, and China. Their offerings are complementary to our current power quality capabilities as they design and manufacture electromagnetic products for blue-chip customers in defense, industrial automation, alternative power generation and energy, which includes electric utilities and renewable energy. In addition to extending our capabilities in the clean power industry, SNC brings much-needed incremental, low-cost manufacturing capacity and expertise to further grow our power quality business. From a financial perspective, SNC adds about $40 million in annual revenue and is expected to be accretive to earnings in year one. While their current margins are less than our stated goals, we are confident that we are well-positioned to improve them over time. In addition, we see several opportunities to leverage the resources within the power pillar and Allient as a whole, and to have a positive impact on sales and profits in the short term as well. We welcome all employees of SNC to Allient, and we look forward to a continued growth and success together in the future. With that, let me turn it over to Mike for a more in-depth review of the financials.
Michael Leach: Thank you, Dick. Starting on slide five, we highlight our top lines for the quarter and full year periods. Fourth quarter revenue increased 8%, or nearly $10 million to $141 million, excluding the favorable impact of foreign currency exchange rate fluctuations on revenue of $1.6 million organic growth was approximately 6%. Industrial markets were up 23% in the quarter, benefiting from strong end market demand within industrial automation, vehicle handling, and power quality solutions focused on the oil and gas and HVAC markets. Within our vehicle markets, our automotive customers began to ramp up their programs as expected this past year. We also saw a nice demand for power storage, which helped drive the overall vertical up 17% in the quarter. Offsetting some of that growth continued to be lower demand within agricultural vehicles, given the softness in Europe, which was largely influenced by the Ukrainian conflict. A&D sales were down just given the timing and resulting lumpiness around certain defense and space projects, along with customer-driven supply chain challenges within the vertical. Medical market declined due to softness in medical mobility, which has largely reflected a reduction in demand that we experienced during the last two years of those products driven by a specific customer. Slide six provides some details regarding our full year performance and shows the change in our revenue mix and the drivers behind each change. Industrial continues to lead the way and remains our largest market, making up 44% of total 2023 sales. That's an increase of 600 basis points since 2022. The 33% growth in industrial space was driven primarily by the same market as fourth quarter and reflected continued improvements within the supply chain environment, which supported the shipping of some long-lead projects. The A&D vertical is better evaluated on an annual basis given program timing, and for the year we grew to low double digits due to the success of winning new defense projects and the ramping of other programs. We also benefited from positive commercial aircraft demand, given overall improvements within the industry. Vehicle market revenue was up 2% and reflects the same demand drivers as the fourth quarter. Medical sales were nearly flat as we continue to see a return to a more normalized sales environment focused on surgical and instrumentation-related end markets. And lastly, sales for the distribution channel, which are a small component of total sales, were up 6% for the year. As highlighted on slide seven, gross margin expanded 40 basis points for the quarter and full year period on higher volume and favorable mix, along with the continued emphasis and usage of our lean toolkit throughout the organization. These impacts more than offset elevated raw material costs and remaining supply chain inefficiencies. Moving to slide eight for our operating performance, you will notice that we had a sizable increase in business development costs for the quarter and full year period. Those expenses were in support of the recent acquisitions, an increase for our prior acquisition, and an earn out, and some rationalization efforts around our manufacturing footprint to position us to drive stronger operating leverage in the future. On an annual basis, we did gain some operating leverage which drove operating income growth of 34% to $42.3 million, or 7.3% of sales up 100 basis points. On slide nine, we present GAAP net income and adjusted net income, which we believe provides a better understanding of our earnings power, inclusive of adjusting for the non-cash amortization of intangible assets, which reflects the company's strategy to grow through acquisitions as well as organically. Fourth quarter net income increased 18% to $4.3 million, or $0.26 per diluted share, and on an adjusted basis was up 31% to $9.1 million, or $0.55 per diluted share. Included in the fourth quarter results was a tax benefit of $0.4 million, which reflected realization of certain NOLs and R&D credits and incentives. For the full year, net income increased 39% to $24.1 million, or 1.48 for diluted share. On an adjusted basis, the annual net income increased 25% to $37.5 million, or $2.30 for diluted share. The effective tax rate was 18.9% in 2023, which reflected the tax benefit from the fourth quarter due to realization of certain NOLs and R&D credits. This compared with an effective tax rate of 26.6% during 2022. We expect our income tax rates for the full year 2024 to be approximately 21% to 23%. We use adjusted EBITDA as an internal metric and believe it is useful in determining our progress and operating performance. Adjusted EBITDA increased 2% to $16.9 million, or 12% of revenue. For the year, adjusted EBITDA increased 18% to $77.2 million, or 13.3% of revenue, which was up 30 basis points. Slides 10 and 11 provide an overview of our cash flow and balance sheet. We generated $45 million of cash from operations for the year, which represented a record level for the company and a significant increase from the $5.6 million generated during the prior year period. The increase reflected higher net income and improved working capital management. Based on our cash flow projections, we expect to continue to drive strong cash flows consistent with historical trends. Annual capital expenditures were $11.6 million and largely focused on new customer projects. We expect 2024 capital expenditures to increase from this level, being the range of $16 million to $20 million. Inventory turns improved to 3.0 times compared with under three times last year. Our DSO was slightly elevated at 56 days for the year, largely reflecting timing and mix of customers. Total debt was approximately $218 million, down $17.1 million from year-end 2022. Debt net of cash was about $187 million, or 42.6% of net debt to capitalization. Our bank leverage ratio was 2.8 times. Lastly, we recently extended the maturity of our existing [ph] $280 million revolving credit facility for [Audio Gap] 2029. Borrowings for the revolving facility will bear interest on the sliding-scale rate based on leverage of 1.25% to 2.5% over SOFR. In addition, for added flexibility, we entered into a $100 million fixed-rate private shelf facility with Prudential. The notes will have a maturity date of no more than 10.5 years after the date of original issuance and may be issued through March, 2027. Currently, there are no borrowings under this agreement. With that, I'll now turn the call back over to Dick.
Richard Warzala: Thank you, Mike. Slide 12 shows our orders and backlog levels. As we have discussed throughout the year, the change in backlog reflects the continued improvements within the supply chain environment, which has enabled the shipping of some longer lead industrial market projects and led to customer order patterns beginning to return to a pre-COVID-19 environment. There are a number of exciting programs that will play out as we move through 2024, and we are well-situated as we realign the organization to support the significant opportunities that we are bidding across our target verticals. The upcoming year will have its challenges given the changing dynamics of our backlog, which is expected to continue to right size for the next few quarters. This also presents the opportunity to reduce our working capital requirements and strengthen cash flow. Turning to slide 13, we are intent upon creating stronger earnings power with our simplify to accelerate strategy. 2024 is the year to drive out redundant costs, realign the organization to improve focus and efficiencies, rationalize our footprint, and ultimately simplify our operating structure. By rethinking how we operate, we believe we can accelerate our efforts to achieve top tier financial performance. While some of the actions will take time to fully execute, there is a strong sense of urgency throughout the organization to deliver on our goals. Our simplify to accelerate strategy is moving forward by adding the word now to the end and is centered on three high level strategic initiatives. First, realigning and rightsizing our footprint to better align with our markets and customers. Initiatives began in 2023 and are expected to continue with earnest throughout 2024 and beyond. Reinforcing lean principles throughout the company to accelerate margin expansion. Our ASC toolkit is core to the continuous improvement actions required within the company. And as we demonstrated this past year, we expect to continue to employ working capital initiatives and strong financial discipline to drive additional cash generation and de-lever the balance sheet in 2024. Overall, we are excited and confident in our future as we believe we are well positioned to drive our earnings power with our simplify to accelerate now strategy and create additional value for all of our stakeholders. With that operator, let's open the line for questions.
Operator: Thank you. [Operator Instructions] And the first question will come from Greg Palm with Craig-Hallum Capital Group. Please go ahead, sir.
Danny Eggerich: Thanks. This is Danny Eggerich on for Greg today. Congrats on the good results, guys.
Richard Warzala: Thank you, Danny.
Danny Eggerich: I think, I'd like to just kind of start out by maybe what you're seeing out there right now. Any quarter to date trends. Obviously, bookings kind of fell off a little bit in Q4 and you noted some inventory drawdowns. So maybe just what kind of visibility do you have into this? Are trends, have they kind of continued off those Q4 levels? And maybe how long do you think some of those trends should last for? Thanks.
Richard Warzala: Well, I would say this, that as we mentioned, we expect that over the next few quarters here, we're going to continue to see some adjustments. And it's a mixed bag. While we have seen the hold on shipments or the delay of shipments, so inventories do get balanced properly at our customer level, we're also starting to see that where it was projected for certain demand to be pushed out, starting to now see some demand increasing in a near time frame. So I think it's, as I said, it's a mixed bag. We overall believe that the lead time adjustments, the lead times reductions, and the better management of inventories throughout the whole supply chain, including our own, are certainly actions that are at the top of our list, then as well as our customers. And that the next few quarters, we'll see some continued adjustment there. That's our expectation.
Danny Eggerich: Got it. That's helpful. Maybe just digging a little bit more into this, simplify to accelerate initiative. Any more color you could give there? What are you doing? Is there headcount reductions as part of that? Maybe like a why now? Do you think we'll see this in gross margin or OpEx? How to break that out? And I guess any way you can kind of quantify those impacts to the P&L as we move throughout the year.
Richard Warzala: Yes, sure. So I would just, as a last statement in my prepared remarks, so we said the simplified to accelerate strategy, which actually started last year, and is gaining momentum within the company, but we added a very important word to the end of that, and that's now. And it's not the future, it's now. And I can't stress that enough to say that in everything we do, and as we start to look at all processes and operations and capacity within the company, you can see complexity that needs to come out. So what I would say to you is that, we had defined some activities and some actions and that were pre-COVID that we would have undertaken, but given COVID, those resources were diverted into other directions. Simply making sure we could get parts, satisfying customer demand, working overtime, getting a workforce in place and so forth. So I would just say that they had been delayed. And last year when we had our strategy session with our key leadership team, we absolutely said it's time now to get back onto those initiatives and wring some costs out of our operations. So what you mentioned, I would say, it's all of the above. Nothing is sacred at this point. We did eight acquisitions in a very short period of time. We know, we can do a better job of leveraging the capabilities and the footprint of these acquisitions and bringing teams together. We've got brands out there that need to be retired. We've got company names that need to be retired. As we move forward to the one company image, we launched the new name last year with a new ticker and it's purposeful. I mean, we really have a unique situation with technology and products that we could lever into target verticals. So with further expansion and acceleration of those activities and a focus on making those things happen. So it really is an opportunity for us to look at how we're doing business, use our lean tool, a lean toolkit to help us on continuous improvement. And as I said, it's now, it's not planning for the future. We have actions that are planned that we will execute and move forward on and our leadership team is engaged. So if they will, obviously the goal here is to improve. We make commitments to improving margins. This will absolutely help us achieve those goals.
Danny Eggerich: Yes, so I guess that, like you kind of said there, that I guess 100 basis points of annual gross margin improvement kind of target that you have out there. Does this new initiative work towards that or do you think you can get incremental expansion on top of that with this? How should we think about that?
Richard Warzala: Yes, well, I think, listen, first off, it's hard to adjust expectations or statements that have been made. And a couple of years ago, we wanted to realign what the expectations are as far as 100 basis points margin improvement, including gross margin with our expectation, 50 basis points for both gross and from the operating expense side of it. So let's make sure that that's clear. Our goal internally is to exceed what we state as public goals. This is not, in addition to or anything different than when we laid out our expectations for the improvements a few years ago. This is lining right up with what we stated back then. So while in the process, we see opportunities to do better, we absolutely will, of course. But I think we'll stick with our stated objectives here for the 100-basis points improvement and operating margin with a combination of both gross and operating expense reduction.
Michael Leach: Yes, and one of the things, I'll bring this up a little bit. I think, Danny, you even asked the question before, is that as we did all the acquisitions, you could see revenue line going up, but you also saw the SG&A expenses going up along with that, and that is correct. And at some point, you have to leverage those increased costs to either grow at revenues and earnings some more or to find ways where you can realize some synergies. And that percentage reduction should go down. You should actually see synergies there and start to leverage that.
Danny Eggerich: All right, that's helpful. I'll leave it there, thanks.
Michael Leach: Thank you.
Operator: The next question will come from Gerry Sweeney with ROTH Capital. Please go ahead.
Gerry Sweeney: Dick, Mike, thanks for taking my call. Mike, I think this is your last call, so congratulations.
Richard Warzala: It's his last call? Oh, come on, come on, Gary.
Gerry Sweeney: That's Gerry, too, by the way, not Gary, right? Anyhow, I know we covered the simplified to accelerate, so I'm going let that be for now. We'll have some follow-ups on that later today. A&D, just some random questions here. It is obviously lumpy, you've always talked about that, but just curious, look at that on an annual basis, how much confidence you have, we'll say, throughout 2024 that it sounds as though there are some programs that are out there and you feel relatively confident that, that business is well-positioned.
Richard Warzala: Yes, well, absolutely. I think we've mentioned over several conference calls that the quoting activity has been extremely high. That didn't necessarily convert into orders, which was a little bit of a surprise, but we have seen that orders now coming in and as to our expectations that a replenishment of certain materials that's needed by the defense markets. So we do have visibility on programs beginning to kick in and starting to accelerate mid-year and through the end of the year and some fairly significant programs out into the future. So it is beginning to kick in. And I will state that it is our first, what we would really say is our, internally we call it the Elliott market-specific selling unit, where we want to realize as much value as possible in that market. And we are backing that up by putting resources in place and having a strong focus on it. And then I just mentioned, we just finished up a global leadership meeting here last week and to see the excitement as we bring our team together, how much we really do from an independent unit standpoint and how much we can leverage when we bring a focus to it and have a central point of sale and contact and support of the continued increase in value in a sale that we will see. Part of that process also is we talk about, and Danny asked the question earlier too, some of the initiatives, but I would say specifically how we process, how we handle orders. We have the acquisitions that we've done, we have different computer systems and the transactional costs are quite high because of the way it's being handled. And our whole goal is to simplify it, to make one transaction, drive it all the way through the system, have it happen automatically. And to realign the revenues and profits into the right units who are contributing. Sounds simple, sounds trivial, but as the organization has grown, one of the things I wanted to be very cautious of when we hear this many times is big companies become cumbersome and they don't want to do business with their sister companies. We have to make sure that we do things differently and we prevent that from occurring. And we could see it creeping in and we think we've got a pretty good solution. And in the process, we're going to have a much better focus and we're going to drive costs out as well as aligning more from a system sale. And we think there's a lot of positives there. This will be moving forward this year and it is a strong focus and it's based upon the demand that we're actually seeing in the market.
Michael Leach: Just to add on to that, Gerry, in my prepared remarks, I mentioned some supply chain inefficiencies within A&D. There are suppliers who are customers that are holding up release, if you will, of our products because they're not in a position to produce that full capacity. And obviously, we're holding off on delivery of our products and they can marry them together for a full system. So we are being impacted by that. We are excited about the programs that we previously discussed. Like I said, some of that is being held a little hostage to certain supply chain constraints within that vertical.
Gerry Sweeney: Got you. Taking a half a step back, going back to you, Dick. It’s simplified to accelerate, it sounded as though there was an opportunity, not just for cost savings, but for, we'll say, wild share, getting a larger solution to a customer and getting some of the acquired businesses to, for lack of a better term, interact with the mothership, per se. Is that a fair assessment?
Richard Warzala: Absolutely. And again, just use examples of, in our business, one of the primary objectives, if you want to win in this business, is be first to market with a solution or to the customer with a solution. And a complex system does nothing but drag you down and delay the process of getting to the customer with the solution. So in addition to adding efficiencies, looking at increased value in the sale, and looking at more efficient solutions for the customer at a larger scale, it is shortening the time to market from the time they make contact to the time that we present a solution to them, we want to be first. We need to be first. And being first, you will increase the top line.
Gerry Sweeney: Got it. That makes sense. Absolutely. Acquisitions, right? Do you slow down acquisitions at this point? Is this sort of like, hey, we made eight acquisitions in the last couple years?
Richard Warzala: Yes.
Gerry Sweeney: Holding the…
Richard Warzala: The answer is yes. We need to do more work on making sure that everything that we've acquired is functioning and performing as expected. We have the most recent acquisition at SNC. We're very excited about that. I mean, the synergies that we see already and the opportunities there to leverage. They just happened to see that PCI, our company up in Germantown, Wisconsin, and SNC and Oshkosh are very close. They're complimentary. They're working extremely well as a team right now, and they're starting to leverage resources already for both organizations, which is very exciting. And I do think that the emphasis needs to be on that. Now, we're still grooming. And if the opportunity came for something that we can't look the other way, we'll still pursue, but it's really more of an emphasis to answer your question on making sure we're making what we have work better.
Gerry Sweeney: Got it. So we're sort of quintessentially, make some acquisitions, take a step back, optimize, drive cashflow. That's got to start coming down. And then in the background, there's still some acquisition opportunities, but they'll reaccelerate as you go through.
Richard Warzala: Exactly.
Gerry Sweeney: Okay. That's it for me. I know we have a follow-up later, so I appreciate it. Thank you.
Richard Warzala: Okay, great. Thanks, Gerry.
Operator: [Operator Instructions] This concludes our question and answer session. I would like to turn the conference back over to management for any closing remarks. Please go ahead.
Richard Warzala: Thank you everyone for joining us on today's call and your continued interest in Allient. We will be participating in the ROTH Conference on March 18th in Dana Point, California. Otherwise, as always, please feel free to reach out to us at any time. And we look forward to talking with all of you again after our first quarter 2024 results. Thank you for your participation and have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.